Company Representatives: Charles Rennick – General Counsel & Corporate Secretary Greg Strakosch - Executive Chairman Mike Cotoia - Chief Executive Officer
Disclaimer: *NEW* We are providing this transcript version in a raw, machine-assisted format and it is unaudited. Please reference the audio for any questions on the content. A standard transcript will be available later on the site per our normal procedure. Please enjoy this timely version in the interim:
Operator: [00:00:04] Good afternoon and welcome to the TechTarget Q3 Twenty twenty earnings release conference call, all participants will be in. Listen only mode. Should you need assistance, please signal a conference specialist by placing the stock followed by zero hours after today's presentation, they will be an opportunity to ask questions, to ask a question. You may press stop in one on your telephone keypad to withdraw your question, please press star into place. And this event is being recorded. I would like to turn the conference over to Mr. c, please go ahead.
Charles Rennick : [00:00:43] Thank you, Ashleigh, and good afternoon. Joining me here today are Greg Strache, our executive chairman, Michael Toyia, our chief executive officer, and Dan or our CFO. Before turning the call over to Greg, I'd like to know that some of us are joining you today remotely. And I would like to remind everyone on the call of our earnings release process as previously announced, in order to provide you with an update on the business. In advance of the call, we posted our shareholder letter on the investor relations section of our website and furnished it on an 8-K. Following Greg's introductory remarks, the management team will be available to answer your questions. Any statements made today by Tech Target that are not factual may be considered forward looking statements. These forward looking statements are based on assumptions and are not guarantees of our future performance. Actual results may differ materially from our forecast. Please refer to our risk factors in our annual report on Form 10K and our quarterly reports on form TENGKU filed with the FCC. These statements speak only as of the date of this call and take Target undertakes no obligation to update them. We may also refer to financial measures not prepared in accordance with CAP. A reconciliation of these non-GAAP financial measures to the most comparable gap measures accompanies our shareholder letter. With that, I'll turn the call over to Greg.
Greg Strakosch : [00:01:54] Thank you, Charlie. We are seeing a clear acceleration in our business, as evidenced by us feeding our guidance in Q3 and our forecasting almost 20 percent revenue growth in Q4. For Q3, Twenty twenty revenue grew seven percent to thirty six point two million. Adjusted EBITDA grew 12 percent to twelve point five dollars million adjusted. But our margin was thirty five percent, up from 33 percent in Q3. Twenty nineteen long term contracts represented thirty five percent of revenue in the quarter, adjusted free cash flow with nine point six dollars million, representing seventy seven percent of adjusted EBITDA for Q4 twenty twenty. We expect revenues to be between forty two million and forty three million dollars. Respect adjusted EBITDA to be between fifteen point six million and sixteen point four million dollars. We are optimistic about the future as we believe we are in the early innings of a very large opportunity as our customers focus on making the strategic transition to making their sales and marketing organizations data driven. We are cautiously optimistic that the recalibration we are seeing as we close the year will continue to twenty twenty one. I will now open the call for questions.
Operator: [00:03:14] Thank you. We will now begin the question and answer session to ask a question, you might stop in one on your telephone keypad. If you're using a speakerphone, please pick up your hands before pressing the case to withdraw your question. Please pray starving to. Your first question comes from Jason Kreyer with Craig-Hallum. Please go ahead.
Jason Kreyer: [00:03:41] Hey, gentlemen, good afternoon. Wondering if you can just spend a little bit of time walking through some of the enhancements that you've pushed out with the new prospecting product, and then is that completely rolled out to everyone or is that more of something that's going to be scaled out over time? And then I guess my follow up there would be just on the pricing increases that you've implemented. Just wondering if you've gotten any pushback there, if people are seeing the incremental value in the platform.
Mike Cotoia: [00:04:08] Right. Hey, Jason, excuse me. It's Mike in terms of the. We're really excited about what we just rolled out for priority end. And I would say our September release was the largest update and roll out since the inception of the product. And let me just step back. And we talked about priority engine in the past. You know, we really had a strong focus on working with corporate marketers and marketers have a very specific use case for several use cases. They may have an APM strategy, a nurture strategy. They want to build their database. There's a one time, you know, many type of approach. One of the things that we did in September rollout was we updated the user interface and we really made it focused on sales use cases. And that was very, very key. Again, something back to the marketing side. We have a counter-intelligence an account in size that we rank every week, week over week, day over day. And it allows our marketers to target these accounts. And within those accounts, you have the active prospects. Who are the actual, you know, Opt-In users when we launch was prospect level intelligence in September. And you know what? That user base, which I'll dove into in a minute, along with that active prospect, user level intelligence, this is really enabling and empowering our sales teams within our customers to understand the intense signals that the individual at the prospect level, they can help rank and prioritize within their own territories. So now, if I'm a salesperson, I have two views and I can go back and forth. I can look at my territory each day or each week and look at the list of accounts and rank them and prioritize them and mobilize. My selling efforts are calling efforts, but then I can quickly tab over and rank and prioritize the actual individual active prospects within my territory and I can create a call list immediately. So, for example, Mike Toy inside of Gillette may be the most active prospect in my territory, but Jason clients of Craig-Hallum to be number two. So it really enables better call, better sales interaction and better insights. The other thing that we're really focused on is that we've had a tighter integration and that's a big focus for us in our customers workflow. We've got a really good job on the marketing side and we're really making good penetration on the sales side. And marketers and sales leverage data in different ways. As I mentioned earlier, marketers approach is a one to many, maybe an account based marketing strategy in order to strategy. You know, a rep works in his or her territory. It has, you know, we call lists, it has their own workflow. And typically it's within Salesforce. So, you know, we have the visual for staff and integration into Salesforce. [00:07:09] So now as a Merab, I can see all the intent and the insights at the individual ectoplasmic level and at the current level while I'm in my workflow and if I've identified a new contact that's not in my current territory inside of Salesforce, I can click to add that contact seamlessly. So really, building a cohesive and easy to use workflow for both marketing and sales has always been in our roadmap. I would say the September release has been really, really impactful. And just to give you some additional stats, as we talked about in the shareholder letter, we've seen our page views within priority engine increased by 80 percent since the beginning of the year. And what I mean by that is our customers are on the priority engine and we track all their usage. The portal interactions from people who have self-identified as sales professionals within our customers is up 40 percent since the September launch. So we're pretty bullish on that. And we're going to continue. We have a roadmap. As part of your second question of additional features and functionality, a lot of it will focus on leveraging our customers first party data along with our data. [00:08:20] We have other key engagement offerings that are going to be integrating into this as well. So we have a very robust product development roadmap strategy and you'll see that come out in the first half of 2020 and continue to 21 and continue moving forward. In terms of the pricing, you know, we built a lot of features and functions. Reality for our customers and, you know, as I mentioned, the new user interface, the integration, the sales force, some of the active prospect individual intelligence that we provide, we have not had pushback on the pricing so far. So it's you know, we see that as a positive sign going into Twenty twenty one.
Jason Kreyer: [00:09:02] Perfect, a lot of good color there. Just one more for me, wondering if you can unpack some of the commentary from the letter. You said that, you know, subscription offer is kind of sorry. Subscriptions offer more resilient or, you know, predictable model in the downturn. But then we've kind of seen, you know, the priority engine growth over the last two quarters. So I'm just wondering if you can kind of unpack those two statements and give some more color on that.
Mike Cotoia: [00:09:33] Yeah, OK. I think I want to break that down into two things when we take a look at the overall enterprise environment. Let's take this back five, six, 10 years ago, where a lot of the lot of our customers were selling what's called traditional hardware servers, storage networks. Today, when you take a look at what our customers are selling to their customers is a big shift, the digital transformation, their customers have to move towards a digital ready environment no matter who they are now. And when you start, you know, and that benefits our customers because it's no longer just selling a point in time product, whether, you know, I don't want to dump and run and move on, just selling an ongoing solution. So for our customers, it provides they have some visibility because it is sort of moved away from a discretionary type of spend to more of a business, a continuous business type of investment. So for us, we look at it and say our customers have better visibility into it. They transition their business to meet and align with some of the current day needs in terms of it line of business, types of solutions, and it provides less volatility. Again, if I roll the clock back, you know, five, six, seven, eight years ago, if we were going through this pandemic in most of our customers and selling hardware, their business would drop significantly and that would have a trickle effect on us. Now, how does that relate to priorities in Iraq and in our business? Because you're right, we have a subscription business and we have no subscription business. I think when you went into a pandemic, which we've entered into, you know, the first product, the product that will have the most impact on that is priority engine. You know, when I talk about that, it really focuses around, you know, net new customer acquisition and renewals. [00:11:22] So if you have a net new customer might be a small customer, they may not be ready to commit to an annual or, you know, a multi-year deal. If I'm another customer and I'm up for renewal and I'm trying to navigate through this pandemic, I may not want to commit to another year in deal. But what we're seeing is those customers leave tech targets. They are shifting towards other products. Remember, our model has been in place for 21 years. Right? We are at the hub of our business. We are a publisher of relevant content to help Enterprise IP in line of business professionals. You know, we search upcoming projects. We are a trusted resource. We have a great relationship with our audience because there is a pure gift for the get. So as these folks, what we've seen over the last six months during this now, you know, navigating this pandemic, we've seen a big increase in lead generation and other data product customers coming in. And our goal, one that is we will make sure we service these guys well, they view us as a trusted solution. We will then transition that into an integrated online campaign and ultimately take these new customers when there's more clarity and visibility in the market to an annual long term data subscription model. And I would say doing that, I mean, our long term revenue is 35 percent. I think we'll hold it pretty far and, you know, single digits on that. But being able to do that gets the money in other areas and then have a plan to get all these new customers into long term subscriptions bodes well for us in the future.
Jason Kreyer: [00:12:56] Got it. Thanks for all the color. Much appreciated.
Operator: [00:13:02] The next question comes from Ryan Meyers with like Straight Capital Partners, please go ahead.
Ryan Meyers: [00:13:08] Hi, guys. Thanks for taking my question. So revenue came in above your guidance. Guidance. So my first question is, what would you attribute most of that revenue would be to? Is it higher than expected spend from a global top 10 or any color? There would be helpful.
Mike Cotoia: [00:13:22] Yeah, so we break down, right, so we take a look at our customer mix and if the global top 10, we actually did see a little bit of an increase quarter over quarter, but they are down about 15 percent from previous years. All other customers are up 17 percent and 11 percent respectively. Where we saw the shift, we saw we continue to see really good movement and acceleration in our international efforts. And that's across, you know, all regions. We are we have offices throughout the media as well as Latin America, and we also sell into Asia-Pac. And there's a couple of things that are accelerating the growth there. Number one, our model, which has been in place for 21 years as a publisher, has a very consistent opt in compliance, you know, approved methodology for our registered members. And there's a lot of privacy and compliance regulations that you've all heard about, whether it's GDP or CPA, CPA that just came out in California. Having an opt in database for your membership is critical right now as we navigate to that. So I think we've become, you know, again, a trusted solution. [00:14:37] Secondly, we're seeing throughout those regions as well now in North America, a transition of face to face event budget moving into online. So you see that heavily. It's prevalent in AMEA and Asia-Pac. It's also as well as in North America. I don't think that shift is I think that the face to face of business is going to be changed forever. I mean, I'm not saying it's going to go away. There should be some business that comes back. But what customers are doing, they're accelerating their digital strategy. Our customers are. And we may capture those with a lot of like, you know, I'll say content syndication, content marketing, lead generation efforts, because they understand that they still need to get in front of their prospects and their existing customers through digital methodology and digital programs. They understand the target model of really investing heavily in content to our editorial investments, growing these communities, having active members who are often registered members. And so we're seeing a big increase in our region revenue in those quarterly or semiannual campaigns. But I'll go back to what I spoke to Jason about earlier. These this increase in net new customers provides a good opportunity for us, because as they as they work with us on these Legian campaigns, we then have a playbook, you know, a game plan to integrate them into other offerings that we do and ultimately bring them into a long term data subscription. So that's what we're seeing most of the growth in international. As you can see, our business is up 30 percent. We feel good going into Q4, as you can see by the guidance. And hopefully that continues some growth in Twenty twenty one.
Ryan Meyers: [00:16:21] Ok, that's helpful. And then last one for me, so you said in today's prepared remarks that you continue to see smaller customers hesitant to commit to the longer contracts. And I know you called that last quarter. Have you guys seen any sequential improvement in this area?
Mike Cotoia: [00:16:36] Yeah, I would say it's more or less, but nothing to really improve on. You know, if you look back at this, we reported on Q2, that was, you know, right at the beginning of this. It was almost a lot of these companies just stopped. It will not stop or really froze and had to really assess their budget. A lot of these small companies are EPS back firms are going to Kassala hiring a lot of people and they had to navigate it. I think people are starting to see customers starting to see that, you know, there is still a lot of uncertainty out there, but the world does not end. And, you know, they have to stay in front of their prospective, you know, prospects and customers. So we're seeing some of those folks to our products, to our offerings, continue to sign up for some long term deals. But if not, we want to capture them through our other deals and then transition them into long term data subscriptions.
Ryan Meyers: [00:17:25] Great. Thank you. Welcome.
Operator: [00:17:29] Your next question comes from Monica Rodriguez with Stonegate Capital Markets place called.
Marco Rodriguez: [00:17:36] Good afternoon, guys, thank you for taking my questions. Just wanted to maybe see what your thoughts were in terms of the guidance and the impact of parts of Europe that seem to be kind of getting ready to go down into some form of a lockdown again. How are you guys kind of thinking about that and in particular impacting Q4?
Mike Cotoia: [00:18:01] Right, thanks, Michael. I mean, this is you know, we experienced this in Q2, right? A lot of folks are having a lock down across the globe and, you know, in in Europe as well. You know, they announced a recent lockdown in throughout a lot of Europe right now as the cases go up, you know, in terms of how we predicted, I mean, we are still seeing, you know, our customers who had previously allocated budgeted for face to face events. They still have a need to get in front of their customers and their prospects and they're looking to leverage in all of our customers are trying to look to leverage the right data to help transition their sales and marketing efforts. I think this whole face to face shift. Face to face and then shift where fieldworkers with most of their budget was allocated towards events is now being allocated towards online digital data driven. So, you know, we still have healthy projections for AMEA in Q4. Obviously, there's some uncertainty. I mean, but as you can see, we provided some you know, relatively almost, as Greg mentioned in the shareholder letter, almost 20 percent growth overall. And that's, you know, growing across all regions, including email.
Marco Rodriguez: [00:19:24] And then how should we how should we think about that international business as it relates to sort of mix of your offerings there, whether it's, you know, the movement from event to digital priority engine and kind of branding? How should we be thinking about that?
Mike Cotoia: [00:19:40] Yeah, I would say I still think the international markets, you know, tend to. Brag a little bit behind the U.S. markets in terms of, you know, marketing campaigns and services and leveraging and leveraging, you know, purchase intensity of marketing and sales transformation. Well, I'd say, you know, right now with the Koven, the pandemic situation, I think is accelerating a lot of these movements across the board right now. And people are going to reassess everything that they're looking at. So if I am the CEO or the CFO of a company and I get through Twenty twenty and I see one about one of our customers and I say, gosh, you know what? I navigated through this in 2019. I spent X amount of dollars in advance, but in Twenty twenty I was able to navigate and I spent X minus seven percent. I think that they're going to end up putting those budgets towards online to help scale drive continuous interaction. And, you know, even if it starts with lead generation and content marketing offerings integrated with some of the brand solutions, at the end of the day, our customers are really focused on leveraging the right intent throughout their marketing and sales cycles when they're in market. So I think priority engine plays a really good place in that as we start transitioning folks from events to content syndication, from content syndication to integrated online solutions, from integrated online content driven solutions for priority engine integrated campaigns. So I think it bodes well. You know, obviously we'll know more in the next 90 days if we finish the year. We talked to you guys in February on this. But, you know, I don't have a crystal ball, but I think this plays well for us in the long term.
Marco Rodriguez: [00:21:25] And last quick question, kind of a high level question here, one of your competitors recently announced an acquisition of a company that provides sort of a high powered buyer and data solution, trying to say that you can share your thoughts on that technology and also how you might be thinking about this from a competitor standpoint.
Mike Cotoia: [00:21:46] Yeah, I mean, that competitor, you know, they that was there time with the same competitor? I think you're talking about is it Zombo?
Marco Rodriguez: [00:21:56] Yeah, yeah, yeah.
Mike Cotoia: [00:21:58] So they they acquired a company, a small company that talked about a comments and, you know, that was their supplier before. So, you know, they acquired the supply. I think it's probably a smart move on their part, but I don't think it changes the offering. And, you know, when I take a look at it, they do a really good job of contacts and, you know, Klusener contacts. If you take a look at what we're doing with it, what we have is, you know, what we call real and observe first party purchase intent. You have to start with investing in content. We are 100 percent focused on the enterprise, I.T. enterprise, I.T. market. We have the right engagements coming in. Will we know which people are looking at, which vendor content or which editorial content or peer to peer content? We're doing a search on a very specific technology segment within a very specific region like that. We'll it's very difficult to leverage, you know, things like third party cookies or bitstream data that, you know, there's a lot of questions about that. It's only at the account level and you really don't want to muddy the waters on that. So our approach is being very transparent. Number one, as I mentioned, we focus on providing the right engagement signals, the intense signals, and we get that because of our content investment. And we're the largest place in the Web where enterprise I.T. vendors publish their content through their marketing efforts. And we know 100 percent well, we know and we deliver 100 percent transparency. I can tell you those are the buyers. We're on one of our one hundred and forty six enterprise I.T. community websites. I can tell you what articles they read. I can tell you what vendors, white papers they downloaded, what webcasts they viewed, what search terms they had, and that's real and observed intent and engagement signals that will help power and transition our customer sales and marketing efforts to become better data driven and drive more opportunities early in their sales cycle.
Marco Rodriguez: [00:24:08] Very helpful. Appreciate your time, guys.
Operator: [00:24:12] Your next question comes from Aaron Kessler with Raymond James please go ahead.
Aaron Kessler: [00:24:17] Great, thanks for the questions first, just on the Q4 revenue guidance, we've been about 17 to 19 percent growth. Obviously a big acceleration from Q3. Can you expand a little bit on this? Just how much this might be the shift from events that you talked about, price increases and sales offering, normalization of ITSM, et cetera?
Mike Cotoia: [00:24:38] Yeah, I think I think, first of all, some of it is being driven by the shift from events to online, no doubt about it, and we're seeing that internationally as well as in North America. I also think there's some catch up, some pent up budget with our customers, you know, our reps very close to our customers. They've been very close throughout this entire pandemic. We've had the conversations with our customers as they look to shift the you know, they may have reduced their or eliminated their budget, but they cut their budget. Some of that budget was in their coffers to make sure that they can leverage in, you know, the world and end. Our conversations have been pretty good right now where, you know, they have end of the year budget. They want to use it. They want to look at it, whether it's through content marketing, content syndication, Lisanne efforts, conversation we're having with our clients are, you know, Target viewed as a trusted resource. We know we can't get to our customers or prospects in a face to face events selling. We absolutely know who we trust to get to them online and digitally and through content offerings. So I think you're going to see a lot of that end of the year flash come our way. Those are the conversations we're having on it. And, you know, I don't think you'll see the price increase. You might see a little bit a little of that now, but a lot of that you'll see in 20, 21 and 20, 22.
Aaron Kessler: [00:25:57] Got it. OK, great. Let's make a quick question on the additional sales features that you've added to priority engine. How should we think about how much this expands the TAM and then kind of is there a go to market strategy to try to expand your relationships with with the businesses? And maybe you could get some color on how many salespeople were using this versus marketing people previously as well. Thanks.
Mike Cotoia: [00:26:22] Yeah, in terms of experience and Tim, I think, you know, we've done a really we still have a lot of runway with our, you know, marketing focus. You know, marketers are still in the early innings of transitioning and leveraging data to transition their efforts and in a lot of different data signals out there. And, you know, I always sort of what data is very clean, very transparent. And, you know, so we're still going to continue to focus within our just, you know, marketers be a marketing base and our customers have, you know, several different use cases on the marketing side. They also have offices across the globe. We have a lot of runway of, you know, somebody signed up for, you know, a US license to sign up for a LATISM license, you know, France, Germany, England, you know, Asia-Pac break it down by countries. And we have a really good roadmap on that in terms of increasing it to the sales use case. That's important to us because, you know, marketing has a lot of focus on, you know, getting the right data and driving engagement and marketing the solutions in their company. And they want to make sure that they bridge the gap and what they're doing and make a bridge over the sales of sales. Using that same data understands the campaigns going on can really mobilize and prioritize and make make this impactful. So I think we're you know, I think we're very focused on making sure that we have a very easy to use sales application here, which is much different in the marketing application. A lot of it will focus on some of our integration strategy into Salesforce. We have hired some folks to help out and train the sales teams within our customers. And our marketers love that because their sales teams are leveraging and seeing success out of their, you know, what marketing is investing in in terms of priority engine. That only makes everybody happy. Then, you know, we've shifted to next year. You know, a part of this upswell is a seat license. You have more sales reps using it. You're going to have more revenue on the seat license. And I mentioned in the shareholder letter, we've seen a 40 percent increase in people that have identified themselves as a sales title within our customers using the portal since September. So the last 30 days, we've seen a big success on that, the big growth on that. And we're going to continue that. That's a big focus. So I think it provides opportunity for both expansion, tam, expand relationships that we have within our organizations that connects the dots between marketing sales, inside sales, outside sales, field marketing. So we still want a pretty good position on that.
Aaron Kessler: [00:29:05] Right. Just quickly, I think in the shareholder letter you mentioned, priority engine views increased by 80 percent since the beginning of the year. Is that the market acceleration from what you're seeing maybe in 2019?
Mike Cotoia: [00:29:17] Yeah, so is a lot of it is we? Yeah, so pages accelerated by 80 percent from from the beginning of the year. That's an increase from the previous year. We don't report what the previous year was. We're seeing markers more engaged on that different use cases, other people in the marketing team, some channel applications within our customer side, the channel marketing. So we're seeing that what we were really want to make sure we highlight. So that's important because we want people not only the business wants user wants, it's going to be part of their workflow. And that's been important for us with the marketing side. We learned a lot as we developed what we were doing, our strategy around making marketers, you know, having marketers be very sticky inside a priority engine. And we applied those learnings to our sales use cases and user interface and in the integration of the salesforce into the customer's workflow, we're looking to expand upon that as well. So what impressive number, I think, is when we finally launched this upgrade in September on the sales use case, that we saw a 40 percent increase in people that identified themselves as sales, not only going into the store, but with repeat users and visitors using multiple times. And we track all that data every day and every week. So I think there's a good opportunity there as well.
Aaron Kessler: [00:30:38] Got it. That's all for thank you.
Operator: [00:30:43] Again, if you have a question, please pray stabbing one. Your next question comes from Alan Cleeve with national security. Please go ahead.
Allen Klee: [00:30:53] Good evening. I'm wanted to focus on looking at 3Q versus four. Q What you're thinking about and a few things related to that one with the international. I heard you say that there's more people buying, but but they're not buying priority engine as much. It's more other of your products. And how do we get to feeling confidence that that's sustainable? And then and then also with your global 10 customers, you said in the letter that they're up sequentially in the third quarter and it says that you expected them to be up for the fourth quarter. Does that mean that in the fourth quarter you expect them to be up year over year?
Mike Cotoia: [00:31:46] Yup, they've got some stuff back on the international side. I said at the beginning, the international business is really doing well across all phases. We're seeing good growth in priority engine, but we're also seeing the growth in the lead gen side. So our customers it's not I think one of the questions was if you have these small customers and there hasn't been coming on, what will they do in terms of international business? A priority as up, you know? Well, they drove the growth on the international side, you know, for the company overall. So we will continue to see success on that because they are I look at each of those regions, whether it's Asia-Pac a mirror or Latin America there, they lag behind the United States in terms of transition on the technology side and on the marketing side, they are starting to see an acceleration. So, again, priority engine across all of our content marketing initiatives have done very well internationally throughout the last couple of quarters. I would say the only thing that hasn't grown would be our branding, but that typically comes from our top 10 global customers. And whenever there's a pullback, they will pull back on their brand investment. But again, our brand revenue is typically between 10 and 14 percent of our overall revenue. It's not you know, it's nice to have, but it's not the revenue that we're focused on in terms of, you know, the overall long term focus of the business. In terms of the global 10, I expect it to be both in Q4 sequentially. We expect them to grow and we do expect them to grow year over year. We are seeing some, you know, penetration. Some of these accounts we're looking at one, you know, some nice long term deals with some of these accounts. [00:33:32] The one thing I will remind you is I never want to be relying on these accounts are a big you know, they're a good portion of our business. But today they represent about 20 percent of our overall business. 10 years ago, they represented close to 40 percent of our business. So there was ever a pullback in the market like we could see now or it was a recession that would have a material impact on us. Today, we have much better customer concentration spread across, you know, the global 10 and all others. And that bodes well for us, you know, not only short term and long term. And you've been covering it for a while. You know, that has been a pretty big initiative for us to keep that amount of 20 percent total customer share.
Allen Klee: [00:34:17] Thank you. And last question, I want I heard you say that you thought that the price increase from priority engine we would really see in twenty one and twenty two. But to do that or maybe I misheard that, did the price increase come mostly go in in September or does it get like kind of over time it goes in with different customers.
Mike Cotoia: [00:34:42] Well it goes in when customers are renewing or they start signing up for an annual subscription. So even if we got some customers that signed up now, they would they would, which we have it would only recognize one quarter of that full annual subscription for the price increase. You'll see it was we had to November, December, as people buy new annual, you know, or renew or buy new Windows subscriptions because it's relatively recognized. You've got to see that over the 12 months. And just what we are in the calendar year, we only have two months left, three months left. So you see most of that revenue in Twenty twenty one.
Allen Klee: [00:35:19] Ok, thank you. Good. Good job.
Mike Cotoia: [00:35:22] Thank you.
Operator: [00:35:25] The conference has now concluded. Thank you for attending today's presentation, you may now disconnect.